Operator: Hello, and welcome to the Alstom Full Year Results for Fiscal Year 2024-2025. My name is Laura, and I will be your coordinator for today's event. Please note, this call is being recorded and for the duration of the call, your lines will be on listen-only mode. [Operator Instructions] Today, we have Henri Poupart-Lafarge, CEO; and Bernard Delpit, Executive VP and CFO as our presenters. I will now hand you over to your host, Henri Poupart-Lafarge, to begin today's conference. Thank you.
Henri Poupart-Lafarge: Thank you. So good morning, everyone. Welcome to Alstom's results for the fiscal year '24-'25. So I will start by a few highlights, and then Bernard with me will walk you through the full year results. I will go through our outlook and guidance before taking your questions at the end. So let's start with the key figures. So orders came at €19.8 billion for the year with a strong momentum in small orders during the fourth quarter. So book-to-bill came at 1.1 for the year, in line with our guidance. Sales came actually ahead of the plan at €18.5 billion, an equivalent of 6.6% organic growth. Adjusted EBIT was close to €1.2 billion, up 18% on a year-on-year basis. This represents a 6.4% margin compared to 5.7% last year, in line with our guidance. Free cash flow at €502 million came at the top of the guided range. And for the third semester in a row with €640 million free cash flow generation in the second half despite a low order intake in Rolling Stock and Systems over the same period. The strong set of numbers reflects the continuous progress we are making on our strategic priorities. And let's come back to three of them. First, the quality of our backlog continues to improve. The backlog margin is now close to 18% and back to the level we had before the merger. This reflects quality order intake, a favorable mix towards Services and Signalling as well as the end of specific legacy contracts inherited from the merger like Aventra in the U.K. Second, we continue to work on improving execution. During the year, we had to mitigate supply chain constraints. But in this context, we are happy to report record activity in the fourth quarter in terms of production volumes. Third, now that the integration of Bombardier Transport is done, we have mobilized around an ambitious plan to improve industrial efficiency. On the industrial side, we are working towards increasing standardization across manufacturing lines while optimizing our industrial footprint with, for example, the launch of the transformation plan in Germany. On the engineering front, we have started the deployment of the PLM, the product lifecycle management, in partnership with Dassault Systèmes. Objective is to reduce by 30% cost and time needed for trains development, leveraging on the new scale of the group. So overall, a solid set of results with all objectives delivered. Turning to the usual snapshot on the market opportunities on Slide 6. We continue to see very supportive demand for rail globally, largely thanks to increased ridership in most countries. Alstom pipeline for the next three years remains broadly stable, globally at around €200 billion. Let me give you a few regional highlights. The European pipeline is up 10% compared to September, thanks notably to high-speed opportunities in Continental Europe. And for clarity, this does not factor any upside from the German infrastructure plan. It is too early to adequately measure its effects. We are a bit more prudent on the Americas with some delay in decision-making on a few large-scale Rolling Stock and Systems projects, in part due to the current macroenvironment. In terms of competitive dynamics, the landscape in Europe and North America generally been quite stable. The Chinese player, CRC remains absent from these markets. In the regions where they do compete against us, such as Latin America, the Middle East or Southeast Asia, these regions collectively account approximately 15% of Alstom addressable market. So bottom line, this pipeline supports Alstom growth trajectory and our objective of book-to-bill above one for Rolling Stock in the short term as well. So turning to Slide 7 with a few contracts to highlight for the second half. €1.8 billion of large service orders, regional train maintenance in Europe and several important operation and maintenance wins in the U.S. On Rolling Stock, we won the tender in Morocco for very high-speed trains, and we received a batch of €500 million of options for RER NG. We note two promising frame agreements in Signalling, we have been signed in Europe for total €800 million with orders to be booked progressively over the next quarters. On Slide 8, you see the mix of order intake over the last four years. The share of order intake from Services and Signalling has increased from 36% in fiscal year '22 to 58% in fiscal year '25. These are, of course, the most profitable activities and support the margin trajectory. This, combined with lower Rolling Stock orders over the last two years, results in a more balanced backlog with around 40% from Services and around 40% from Rolling Stock. A few comments here. On the Signalling side, we have seen major investment decisions in geographies like Perth in Australia during the first half, but also many small orders on frame agreements like in Italy. Such frame agreements are now also in place in Germany, which is only starting its rollout of ERTMS. Services order in fiscal year '25 has been outstanding with a book-to-bill at 1.8 and orders exceeding €8 billion. This has been achieved, thanks to a high attach rate with new Rolling Stock customers like S-Bahn Rheinland or Proxima, a positive momentum in short-cycle sales with overhaul and spare parts coming on top of the long-term maintenance contracts. All operation and maintenance contracts coming to an end have been extended and some of them with increased scope like in California in preparation of the 2028 Olympic Games in L.A. And finally, Alstom was successful in securing new customers like Transnet in South Africa for the maintenance of its fleet. Regarding the Rolling Stock production output on Slide 9. After a more challenging start of the year, marked by serial production stoppages and supply chain issues, Q4 saw a remarkable mobilization of Alstom operation teams with 1,282 cars being produced. In particular, the teams have worked towards reducing supply chain constraints. The early identification of capacity issues of suppliers has enabled to reduce the quantity of critical suppliers from 69 to 44 at the end of the quarter. For the few outliers, which have been impacted our production chain, the action plan deployed is producing its impact. And they have been able to deliver in line with expectations during Q4. To make our supply chain more resilient, several dual sourcing initiatives have also been put in place. Slide 10, on two projects for which we give regular updates. The Aventra program is substantially over. Seven trains remain to be accepted as of March '25 out of 443 and all consequences of the closeout negotiations have been provisioned, including penalties or modification costs. For the Amtrak project, testing is complete. We expect homologation and start of revenue service as per Amtrak announcement. Manufacturing is nearly finished, and we now expect cash-in to come following homologation. Turning to Slide 11 and a few operational highlights. Overall, we continue to make progress on the key operational indicators we are on track. For instance, we have a remarkable progress on quality indicators like the number of demerit per car at a record low. We are ramping up despite pressure from the supply chain. We are improving our engineering and manufacturing on-time delivery even if we can -- and we will do better continuously. Client satisfaction measured by the Net Promoter Score is continuously high and continuously increasing. We will double down on this operational excellence initiative to support competitiveness and on-time delivery objectives. So now let's take a look at Germany, which is one of our key focus areas. So on Slide 12 on Germany. Germany is the number one market. This market represents around 14% of the group backlog and is attractive in terms of mix and diversification of the customer base. The announcement by the new government of the major infrastructure plan will most likely reinforce the market attractivity. At Alstom, we have invested in Rolling Stock -- new Rolling Stock platforms like, for instance, the Coradia regional trains, the Traxx locos and metros. These platforms have been successful in the market with a high order intake in the past few years, like in Koln, Hamburg or in Baden-Wurttemberg. We also have invested in Services and Signalling, already doubling our sales in these two activities during the last four years and with landmark win beginning of 2025 with DB Netz Signalling frame agreement. While demand and our positioning is strong, we recognize that our industrial footprint in this market is not optimal. That's why we have announced in October last year a transformation plan, which includes the sales of Gorlitz sites announced in February, the reduction of three assembly sites from six today and the transformation of two Rolling Stock sites into Services sites. As part of this transformation plan, we expect €100 million restructuring charges over the next three years, mostly linked to severance, transfers of production and transformation to improve cost base and competitiveness. We anticipate our strong positioning in Germany, combined with the transformational plan will yield tangible results over the near to medium term. In particular, we expect: first, a significant activity increase; second, improving mix towards Services and Signalling; and third, strong efficiency improvement with a 30% increase in utilization rate at our sites, the deployment of standard manufacturing line and the phaseout of legacy projects. Decarbonization remains at central to Alstom's strategy, as the group continues to strive to lead the societies to a low-carbon future, as you can see on Slide 13. The group is actively reducing its own direct and indirect emissions. On Scope 1 and 2 emissions, indicator stands well at 128 kiloton of CO2 emissions in '24-'25. This is a 8% decrease comparing to last year. So overall, Alstom has achieved its target of reducing Scope 1 and 2 emissions by 40% since '21-'22 as early as this year, more than five years ahead of the original target plan. This is an important milestone, enabling us to look forward towards more ambitious goals in the future. On Scope 3 sold products emissions, still well oriented, reducing by 2% this year. We are on track to meet our objectives regarding CO2 emissions intensify of Alstom passenger transport solutions sold during the year. Finally, the taxonomy sales alignment results have improved again by six points, now reaching 66%, placing Alstom among the top-notch industrial companies on these indicators. I'm very satisfied with these performances, which reaffirms the group's role as a pioneer in sustainable operation and smart mobility solutions. Now, I will hand over to Bernard for an overview of the financial results. Over to you, Bernard.
Bernard Delpit: Thank you, Henri. Very happy to share good news on Alstom with all of you today. Starting with order intake on Slide 15. Order intake increased compared to last fiscal year and reached €19.8 billion. This represents a book-to-bill at 1.1, in line with guidance, even if slightly below the €20 billion mark mentioned in January. Q4 order intake came at €4.6 billion, thanks to a solid base orders for a total of €3 billion. This compensated a few large Rolling Stock orders shifting to fiscal year '26 compared to what we expected earlier in the year, in particular, the contract with CP in Portugal. Europe has been again the most dynamic region. Americas and Africa, Middle East also recorded good momentum. In terms of product lines, the group recorded a strong performance on Services and Signalling. Margins on order intake continue to exceed margins in the backlog, and this is not only thanks to mix by product lines, but also to the quality of Rolling Stock orders. Based on that, we are very optimistic on the order intake for next year along the year, but particularly in H2. You may have seen Bulgaria option on RER NG. As I mentioned, CP in Portugal will come later in the year, and we have good news coming from Americas and Australia. Turning to sales on Slide 16. Reported sales grew at 4.9% for the full year, reaching €18.449 billion. FX had a minor negative impact. Scope was also a 1.3% negative, mostly due to the sale of the U.S. Signalling business before the end of H1. As a total, organic growth was up 6.6%. Rolling Stock sales reached €9.454 billion, up 3.7% organically, with ramp-up in Australia and good execution in France, Italy, South Africa. Mix explains why with a stable production sales -- with a stable production, sorry, sales were up almost 4%. Services and Signalling consistently delivered strong growth. For Signalling, the Scope impact has been fully compensated elsewhere, notably in Europe and Australia. Systems were very strong in Mexico, France and Africa. And even if we can see some reasons for a slower growth in Signalling and Services this year, I do not see it today in our current trading. Looking now at the P&L on Slide 17. Gross margin reached €2.6 billion. In percentage, it decreased by 20 bps to 14.1% compared to the prior fiscal year due to legacy projects and Scope. We'll see the details on the next slide. Net R&D cost on P&L ended up the year at 2.8% of sales, notably due to cost discipline and to project phasing and also to the disposal of the U.S. Signalling business, which was R&D intensive. Selling and administrative costs have reduced to 5.7% of sales following the cost-saving plan launched last year. Finally, we had a sound contribution from Chinese JVs at €148 million. Altogether, adjusted EBIT margin increased by 70 bps compared to the prior year and reached 6.4%, totally in line with guidance. Analyzing the main drivers behind the adjusted EBIT margin figure for the full year on Slide 18. Gross margin decreased by 20 bps. Volume and mix developed in line with plan, up 30 bps. Scope was a negative 20 bps impact, largely due to the sale of the U.S. conventional Signalling business to Knorr-Bremse. Legacy contracts were overall an additional 30 bps headwind to gross margins. Aventra was the most significant one, which is now over. Finally, the German transformation plan was announced in October 2024, so the tangible contribution to profitability is expected to be more visible in the years to come. Below gross margin, we are ahead of plan on SG&A savings with a positive 60 bps contribution to adjusted EBIT margin growth this fiscal year. R&D as a percentage of sales came 30 bps lower than in the prior year, as explained before. Those two items somehow offset delay in restructuring in Germany, which is starting now. Looking at net profit on Slide 19. Non-operating expenses have reduced from €510 million last year to below €200 million this year, in line with guidance. Looking at it in more details, integration costs came at €97 million, according to plan, as we finished the integration of Bombardier. Legal costs reached €36 million, mainly for the preparation of the arbitration against Bombardier Inc. Other non-operational expenses include the consequential impact of the German plan and other costs. With the end of the integration, we expect non-operating expenses to reduce further and to stand around €100 million per year going forward, depending on the intensity of some footprint operations. Financial result decreased to €214 million with two main effects here. First, a strong reduction in net interest expenses from €153 million to €64 million in this year, thanks to the deleveraging plan. This positive effect was partly offset by an increase in other financial expenses, notably a €30 million increase in hedging costs compared to last fiscal year, mainly due to significant changes in foreign currency cash position in Mexico and Poland, an increase of €16 million relating to the mark-to-market entry of a Virtual Purchase Power agreement and the increase in significant financial components on contracts for €10 million. You know that this is the IFRS entry by which the financial interest generated by large and well-financed contracts is reclassified to gross margin from financial results. Effective tax rate stood at 35%. This should revert to around 27% or 25% in next years. Finally, adjusted net profit stood at €498 million, which evidences an improvement in the quality of earnings. Turning to free cash flow for the year on Slide 20. Free cash flow came at €502 million in the very high end of the guided range. Let me highlight a few moving parts here. Adjusted EBITDA reached nearly €1.5 billion versus €1.1 billion last year, representing 8% of sales, it was 6.4% last year. CapEx and Cap Dev amounted to 2.6% of sales below the plan with some phasing impact that will reverse next year. Financial cash-out has reduced at €175 million, thanks to the deleveraging plan and reduced recourse to shortened debt. Tax cash-out has increased in line with profit uplift at €181 million, now close to the P&L tax charge. This results in funds from operations at €553 million for the year, representing 3% of sales against 1.7% last year. Finally, the working capital headwind since the first half has mostly been reversed in H2. In short, we managed well this year above our own midpoint guidance. And as you know, this cannot be a linear progression in this contracting business. Some details on trade working capital on Slide 21. Trade working cap stood at 34 days of sales at the end of March, stable compared to last year, representing €1.7 billion in fiscal year 2025, almost stable over one year. Inventories increased by more than €300 million over the year and now stands at 82 days of sales. This is largely explained by the ambition to accelerate production and deliveries during the second half of the year at a time when supply chain remained tight. We are making sure now that a strong action plan is in place so we can drive inventory turns towards the 75-day medium-term objective. In the meantime, days of payables progressed in line with inventory days. Finally, Alstom has reduced again its overdues receivables as we're increasingly able to resolve customer issues faster. Looking now at contract working capital at the end of March on Slide 22. It went from a favorable 96 days of sales to 89 days at the end of March and stands at €4.5 billion, so €120 million headwind in last fiscal year. Net contract assets and liabilities went from 63 to 59 days of sales, so just below €3 billion, and provisions are decreasing as expected with the execution of the legacy backlog. Contract assets increased compared to last year. The first driver is Services and Signalling, notably long-term maintenance contracts in Europe, which are continuing to grow as we mobilize resources and costs ahead of invoicing. Second driver is French very high-speed train, which has started its ramp-up phase. And third is the Amtrak project on which we built most of the trains, but await the homologation to invoice. As explained by Henri, manufacturing is now completed at 97%, but cash is only at 79%. Looking at contract liabilities, down payments have been stable in euros compared to last fiscal year as announced in the initial guidance. Regarding Rolling Stock projects portfolio, fiscal year '25 saw a high proportion of large projects in start-up phase, generating positive cash over sales, notably in Germany, in France or in AMECA regions, which have pushed the contract liabilities upwards. We expect a number of these projects to transition from start-up to a ramp-up phase in fiscal year '26 that will weigh on working cap. On Page 23, and as already emphasized last year, let me come back on the free cash flow seasonality as it is a feature of this contracting industry. In the last years, we've consistently seen stronger cash generation in the second half of the year than in the first one. Cash-out is evenly distributed over H1 and H2. Cash-in from progress payments has shown strong seasonality. Historically, mostly due to the closing dates with fewer working days over H1, typically in July and in August, with less production and less client availability for train acceptances. This results in progress payments being typically 45% weighted towards H1 and 55% weighted towards H2. And down payments from commercial activity are either mitigating or exacerbating this seasonality depending on commercial momentum. So looking back at fiscal year '25, you can see on the chart how structural seasonality looks like in dotted lines, typically around €900 million and where we landed ultimately for both half years. In fact, at the start of the year, we had already anticipated lower-than-usual seasonality with a minus €300 million to minus €500 million in H1 and plus €600 million to plus €1 billion in H2. H1 landed better than expected, thanks to the combination of a high level of well-financed Rolling Stock project in start-up phase, generating good cash but low sales and a better-than-expected distribution of down payments in H1. Regarding H2, production was good despite a low Q3, enabling the cash-in from progress payments in Q4. And we had some phasing effect with reduced cash-out from restructuring and R&D, partly phasing to next fiscal year. And last, a few opportunities have shifted to fiscal year '26. Nothing is lost here, just timing effect. Bottom line, this has resulted in a very low seasonality for fiscal year '25, whereas we see fiscal year '26 showing a more normal seasonality pattern with some favorable, if not strong reversal in fiscal year '27. Turning to Slide 24. Net financial debt decreased to €434 million at the end of March '25 from €3 billion debt to almost €400 million. Three main moving parts here. First, the deleveraging plan brought more than €2.3 billion over the first half. Second, free cash flow was positive as detailed earlier. Last, the leases, dividends to minorities, FX, combined with the €11 million hybrid bond coupon, which is treated as dividends under IFRS, amounted as a whole to nearly €250 million cash-outflow on the full year. You will find in appendix of this presentation, the updated bridge computation from enterprise to equity value, reflecting these evolution. As a note, Moody's has just issued a press release affirming our rating as an stable outlook after a continuous and very, very transparent dialogue about our outlook. Looking at cash and debt profile at the end of March on Slide 25. On the right-hand side, you can see there is no change to the senior debt profile. The group benefits from a favorable maturity profile with no redemption before October '26 and an average interest rate of 22 bps. On the left-hand side, you can see the €2.5 billion improvement in the cash, cash equivalent and short-term debt profile. As announced at the time of the rights issue, short-term debt has been fully repaid for a total amount of €1.2 billion. Cash and cash equivalents amount to €2.3 billion with €1.1 billion invested in long-term deposits and in money market funds at the end of March. As a side note, Alstom will continue to use commercial paper and revolving credit facility for liquidity needs going forward to manage short-term working capital funding requirements as it is flexible and efficient. Last, in terms of capital allocation, there is no change to this slide, which is the very same we presented last year. Deleveraging remains a priority in the short term. The inorganic part was finalized in the first half of the year. The rest of the deleveraging plan is linked to free cash generation. We will obviously maintain a strict M&A policy in that respect. And now Henri, over to you for the outlook.
Henri Poupart-Lafarge: Thank you very much, Bernard. Let me start first this outlook discussion with a reminder of Alstom's business model, particularly given the most recent macro uncertainties. Local manufacturing has been a guiding principle when building and growing the business in the last decade. As you know -- sorry, if you have not heard the beginning, let me start first this outlook discussion with a reminder of Alstom's business model, particularly given the most recent macro uncertainties. The local manufacturing has been a guiding principle when building and growing the business in the last decade. As you know, having a multi-local industrial footprint is a key competitive advantage, particularly as local production is very often an important factor in winning large tenders. This has been the case in India, Australia and of course, in the U.S. for a long time through the Buy American Act. On top of that, the ability to have some parts of manufacturing process in best cost countries is a source of competitive advantage and maximize value for our customers. Looking at the U.S. more specifically, the majority of the business we do in the U.S. comes from within the U.S. It's true that some projects have been historically organized with partial production and sourcing from Canada or Mexico. Some raw materials and components are also coming from China and Europe. For the part of production that comes from Mexico and Canada, the group is currently well protected under the Free Trade Agreement. Regarding sourcing from China, this represents less than 10% of sourcing cost for the U.S. project for fiscal year '26. We are currently having constructive negotiations with our U.S. customers regarding the application of the change in law clauses that would allow us to pass some of the tariff impacts through to our customers. So overall, and based on the most recent announcement on tariffs, our net exposure is not at all material. Turning now to the backlog on Slide 29. The average gross margin backlog stands at 17.8% at the end of the year and is now back to premerger levels. This represents an average increase of around 50 basis points per year. Part of the increase has been driven by continuous execution of low-margin contracts coming from the Bombardier legacy backlog. As you can see on the chart, the share of the projects with margins below 10% has reduced significantly over the last four years. The increase has also been driven by higher margin and order intake compared to the average margin in backlog. This is primarily due to two factors. First, a higher share of Services and Signalling in the mix. Second, the continuous improvement of margins on Rolling Stock orders, improving by around one percentage point per year over the last four years. We expect these two factors will keep contributing to increasing backlog margin over the next years. As you could see from Bernard's presentation on financial results, the traded gross margin in P&L is nearly four percentage points lower than the backlog gross margin in the last fiscal year. There are several reasons explaining this gap today. First, the one percentage point is almost structural as it is being driven by the mix dynamics with higher share of Services in backlog compared to what's traded in the P&L. Second, nearly three percentage points are driven by a combination of industrial inefficiency in Rolling Stock as well as the net negative revisions of completion margins taken on BT legacy contracts and in particular, Aventra, in the last two fiscal years. The drag from Bombardier legacy contracts should mechanically come off in the next couple of years. Leaving that aside, the opportunity is really for the group to improve industrial efficiency and drive convergence between traded gross margin and gross margin in the P&L. We have already discussed the transformation plan in Germany, and we'll take a closer look at the effect Rolling Stock mix as well as the standardization of the industrial footprint in the next slides. Putting together continuous backlog margin improvement as well as self-help initiatives, we ambition to increase P&L gross margin by one percentage point on average per year over the next two to three years. So turning to the next slide and the evolution of the mix of Rolling Stock over the time. First, on the left, we have been progressing a lot on the execution of the BT legacy contracts, with notably out of the Aventra in the U.K. This process will continue next year and will be essentially finished in 2027. The margin dilution from this legacy backlog will therefore further reduce over time. Second, on the right, we are seeing a rebalancing of sales contribution from product segment within Rolling Stock. We expect our segment in high-speed and locomotive to grow fast and exceed 25% of Rolling Stock sales within three years. Considering the margin profile of this segment, this rebalancing of Rolling Stock mix will support also the group's margin trajectory. Turning to Slide 31 and the standardization process in place across the group's industrial footprint. Now that the integration of Bombardier is done, the priority for our industrial teams is to optimize the footprint. We are working on reducing the total number of assembly lines across the group. As of March 2025, we have already reduced to 75 assembly lines. The plan is to further reduce the overall quantity of lines by around 15, mostly in Europe by 2030. At the same time, we are deploying standard manufacturing lines and standard component lines allowing to execute different projects on the same assembly line. This leads to a lower downtime and therefore, higher industrial efficiencies. Today, 13 assembly lines are compliant with these standards, and we have the ambition to deploy 27 additional standard manufacturing lines by 2030. The rest of the lines will remain specific to certain projects. In the fiscal year '26, the work will be engaged in France for very high-speed trains and in Germany and Poland for the Coradia range, but also in Mexico. We expect the deployment of standard lines will increase the average output by close to 50% by 2030 and will drive medium-term gross margin improvement as well as working capital efficiency. So turning to free cash flow generation for fiscal year '26 on Slide 32. Three main moving parts here. First, and as Bernard explained, funds from operations reached 3% of sales in fiscal year '25. We expect this will continue to develop along with adjusted EBIT improvement and further reduction of non-operational and financial expenses, which will more than offset CapEx R&D increase against fiscal year '25. Second, we expect trade working capital to remain stable in the days of sales as we previously guided for. Third, we anticipate contract working capital headwinds will be more marked in '26 compared to '25. This is largely due to project mix on Rolling Stock. A number of well-financed projects like Coradia in Germany are moving into the ramp-up phase, which tends to consume cash while they were in the start-up phase in the fiscal year we just reported. Therefore, we expect free cash flow for the fiscal year '26 to land within a range of €200 million to €400 million. Now looking at what we expect in terms of seasonality. As Bernard explained earlier, we expect seasonality to be more pronounced compared with fiscal year '25, mostly because of an H2 weighted down payment distribution. Therefore, we see the first half up to negative €1 billion and a quite strong H2, combining higher production output and most of the down payment from '26 commercial activities. Let me stress that the fact that free cash flow is not linear, reflects the nature of our business with contract working capital requirements that differ from one year to the next. With this in mind, we confirm our three year cumulative guidance of free cash flow generation of above €1.5 billion and the free cash flow generation improvement it implies for the fiscal year '27. So to conclude, let me summarize our guidance. In a complex environment, we feel it's important to detail some of the key assumptions behind the guidance. We assume the market demand remains supportive. We assume a stable output in number of cars compared to last fiscal year with the ramp-up of major new projects in France and Germany, replacing some projects being completed. We assume R&D to sales would be more normal and go back to above 3%. Finally, any potential impact from tariffs has been excluded from our guidance as we consider any quantification premature. So in terms of outlook for fiscal year '26, we expect book-to-bill above one at group level, but also at Rolling Stock level. Sales organic growth, 3% to 5%, given the high comparison base of fiscal year '25. We anticipate adjusted EBIT margin to increase to around 7%. Free cash flow generation to be within €200 million to €400 million range with a higher seasonality compared to last year, as explained before. Finally, turning to medium-term ambitions. As I said before, we confirm the at least €1.5 billion of cash generation over the three years to fiscal year '27. We confirm book-to-bill above one and foresee growth to be around 5%. Our ambition for adjusted EBIT margin is confirmed within the 8% to 10% range. We expect free cash flow conversion will be trending towards 100% over the cycle. Thanks for all for listening. And Bernard and I will now take your questions. Thanks a lot.
Operator: [Operator Instructions] We will now take our first question from Daniela Costa of Goldman Sachs. Your line is open. Please go ahead.
Daniela Costa: Hi. Good morning. I have two questions. The first one, I wanted to follow up on the Slide 26 and the commentary that you were giving on the contract working capital changes. And can you maybe give us a little bit more detail about what are those contracts that are mainly contributing for that and whether we -- there's a lot of news flow constantly on the press, and we hear about some delays like, for example, Norway, Romania, the hydrogen in Germany and so on. So what percentage of that drag is some of those contracts that are maybe a bit delayed versus contracts that are just hitting a heavy stage of inventory, but are just going normal. Just to clarify if there's any impacts from that? My second question was just going to be regarding your R&D to sales commentary of going more back to normal to the 3%. So just to clarify sort of when we look at the EBIT margin guidance, what have you -- is that all of that increase into the bridge? Is there -- what -- is the capitalization changing at all? Just how should we think about modeling that?
Bernard Delpit: Okay. Good morning. I will take those two. So in terms of contract working cap, the increase in contract assets, as I said, is largely due to the mobilization of resources for Services and Signalling. Services and Signalling represents roughly two-third of the increase in contract assets, where Rolling Stock represents one-third. And for the Rolling Stock part, as I said, the TGV M in France and the Amtrak project in the U.S. represent the bulk of the increase in contract assets. So nothing else to mention here. In terms of R&D, it's mostly a question of phasing. Nothing to do with the increase in capitalization of R&D. And yes, it is totally considered in our guidance. We will have a gross margin improving around one percentage point of sales, but as a headwind, R&D in percentage of sales increasing to roughly 30 bps. So that's why you come at the end with the guidance of increasing our adjusted EBIT to around 7%.
Daniela Costa: Got it. Thank you. And those delayed contracts that we hear about on the press that are Alstom rather than Bombardier, is there -- can you give an update on whether maybe those things are behind us now, especially, I guess, hydrogen, Norway, Romania?
Henri Poupart-Lafarge: So thank you. We have given a few highlights on the improvements of our operational indicators. So overall, the -- what we call the on-time delivery has improved significantly over the last year since the integration of Bombardier. So I'm not going to comment each and every of these projects. The portfolio is globally improving significantly. It's large. So you always have projects with more or less some difficulties are going well. Hydrogen is a different case where, as you know, this is a pioneer technology, and we are stabilizing the technology. So that's a very specific case. For the rest of the projects, it's not the projects that we're quoting, some of them are coming from Bombardier, some of them are more recent than that, so are coming from the new portfolio, but there is nothing outstanding in this portfolio.
Daniela Costa: Got it. Thank you very much.
Operator: Thank you. We will now move on to our next question from Andre Kukhnin of UBS. Please go ahead.
Andre Kukhnin: Good morning. Thank you for taking my questions. I have two, but I'll just go one at a time. Firstly, on free cash flow, I guess the dynamics of 2026, you explained that with the timing of these contracts going from start-up to ramp up. With your combination of guidance for this year, what you delivered in '25 and the three year guide, you implied about €700 million of free cash flow for 2027. I just wanted to ask how high is your level of confidence on that? And what are the key moving parts that we should be watching out for as this year progresses to gain that confidence on €700 million in '27?
Bernard Delpit: Thank you, Andre. I will take this one. Yes, you get it right. I mean, the reason for the seasonality and the cash flow guidance for this year fiscal year '26 is due to the phasing of well-funded projects in 2025 that now start to be in the ramp-up phase in 2026. So we have costs, but we don't have as much cash as we had in fiscal year '25 for those projects. And as you put it, it makes the fiscal year '27 around €700 million. And here, we are confident. That's why, by the way, we confirm the €1.5 billion ambition for those cumulative targets for three years. And we are confident because some part of those headwinds will reverse the following year, as I said. So it's always a bit tricky because you have some impacts depending on the geographies, the size of the contracts and the phasing of those contracts, it's always more lumpy than what you could hope for. But this is the life of a contracting company. So this year has been better than expected. Next year may be not a linear progression. But at the end of fiscal year '26, the cumulative free cash flow will be, I would say, in line with expectation. At the end of fiscal year '27, also, I'm very confident to reach the €1.5 billion -- at least the €1.5 billion target. And I can also say that having a three year ambition starting from now, we can see cash generation well above the €1.5 billion going forward. So yes, I'm confident.
Andre Kukhnin: And if I may, just a second question, it's a bit broad about kind of trying just to build out the rest of the profit bridge for 2026. You talked about 100 basis points gross margin improvement. I want to check, that includes the Aventra nonrepeat? Or is some of that -- can some of that come on top? And then you mentioned R&D 30 basis points. Is there anything for tariff's impact in the guidance already?
Bernard Delpit: So to your first question, yes, the one percentage point increase in gross margin does include the end of the Aventra fleet. And as we clearly said in the guidance, our guidance doesn't factor any impact of tariffs and for two good reasons. First, it's too soon to tell. I mean, it's so volatile. I mean, tariffs on China moving from 145% to 30% over some days, it makes computation very difficult. And second, we are very confident because of our contracts of our ability to invoice those additional tariffs to our clients. By the way, in 2018, when that happened, when we had increased tariffs on some raw material coming from China, it has been passed to the clients. So for those two reasons, our guidance does not include any impact of tariffs.
Andre Kukhnin: That's very clear. Thank you very much.
Bernard Delpit: Welcome.
Operator: Thank you. We will now move on to our next question from Gael de-Bray of Deutsche Bank. Your line is open. Please go ahead.
Gael de-Bray: Thanks very much. Good morning, everybody. I have two questions, please. The first one is a follow-up, I guess, on the earlier one. What was specifically the drag from Aventra last year on the margin? I think it was around €80 million in H1, but I'm obviously wondering how much it was in H2. And I guess, based on the answer, with the final negotiations with customers apparently now being completed, the drag will obviously not repeat. So why is the margin outlook, the gross margin improvement outlook not stronger for March '26? That's question number one. Question number two is on some of the top line assumptions you've used for this year, the stable production level and organic revenue growth of 3% to 5%. I mean both of them look rather conservative at first glance. And in particular, why is the production level expected to be only stable because it would imply a 15% reduction in the quarterly run rate this year compared to that of Q4? Thank you.
Henri Poupart-Lafarge: Thank you. I'll take the last question. I will give the floor to Bernard on the bridges of the gross margin. We have -- we are bidding on a stable production this year. Of course, it's a mix of pluses and minuses as some projects are ramping up and some projects are ramping down. We have, in particular, a strong ramp-up in Germany, where we have -- as you know, we have recorded a number of orders in the last period, in the last two years, and these projects are starting to ramp up. So it's a relatively slow rhythm. And we are ramping down some projects, notably in the U.S., for example, the -- as you have seen, the Amtrak project is coming to an end. So it's a mix in Mexico, it's also ramping down. So it's mixed bag of pluses and minuses across the globe which leads to this relatively stable situation with, as always, seasonality. So you have seen the last quarter was pretty high, and we expect some seasonality this year as well. Some more color on the guidance on the margin, Bernard?
Bernard Delpit: Yes, Gael. Indeed, Aventra was a drag on our margin last year. And you can expect some pickup coming from the fact that we are now over, we are done with the Aventra. We have even taken some provisions for the end of the program or at least we have not released provisions taken in the past. So you could consider that the end of it would mean some uplift in the guidance in the region of 50 bps, and the rest is coming from the rest of the portfolio.
Gael de-Bray: Okay. Thank you.
Operator: Thank you. And we will now take our next question from James Moore of Redburn Atlantic. Please go ahead.
James Moore: Yes. Good morning, everybody. And thank you for the time. I think a lot of my questions have been asked already, but maybe to round out on the free cash flow. When you talk about the 100% in '28, can I just confirm that we're talking about the magnitude of around €1 billion of free cash in '28. And so if we're in the middle of the range this year, €300 million and then the €700 million you talk about and €1 billion, just to confirm that the new cumulative three year rolling free cash will be somewhere in the magnitude of €2 billion. I think that's the first question. And my second question is, you mentioned that some of the tariffs could be passed on. And over the supply chain crisis, we talked about the shift in the business model to having more escalators. Could you just confirm what proportion of the business has now got hard escalators? And I would have imagined more of the surcharges were automatically and contractually passed on. So could you just perhaps remind us what is passed on contractually with escalators these days and what is not? Thank you.
Henri Poupart-Lafarge: Thank you, James. Just on your last questions, now as you know the -- since, I would say, the COVID period and inflation period, all our contracts have escalation clauses. So these are addressing -- these clauses are addressing the inflation mostly, which could be indirectly triggered by the tariffs even on local production. So we are extremely well covered for that. For the tariffs themselves, when there are change in the tariff policies, then we are more covered by what we call change in law clauses that we have on all our contracts. So we are very well covered there by these kind of clauses which are different. But in both cases, we are very well immunized from any changes on the marketplace. On the first element on the cash flow, but to anticipate, clearly, we expect a strong and regular cash flow generation going forward and trending to 100% over the cycle. So your computation, which is a mechanical one, is the one I have in mind. But Bernard, you want to say more?
Bernard Delpit: No, I will not give any number beyond the confirmation of the €1.5 billion -- at least €1.5 billion for the end of March '27. So I will not go up to March '28. But as I said, I'm comfortable with an improved situation over the next three years. I will not confirm your numbers, James, but I see where you stand, and I understand it.
James Moore: Thank you very much.
Operator: Thank you. And we'll take our next question from Vlad Sergievskii of Barclays. Your line is open. Please go ahead.
Vlad Sergievskii: Hi, gentlemen. Good morning. Appreciate you taking my questions, I'll ask them one by one, if I may. First, if I can clarify your comment on the mix of the unbilled revenue or contract assets. You suggested two-third of it -- of the increase driven by Service and Signalling, would it be an absolute euro number about €600 million? And if these debts are the right number, why would this number be materially different than the revenue increase between those two categories, which was, I think, €250 million or so? That's the first question.
Bernard Delpit: I'm not sure I understood everything, but I can confirm that what is coming from Signalling and Systems altogether represent an increase of €600 million in contract assets, yes, indeed.
Vlad Sergievskii: So if I can ask why this increase is bigger than the increase in revenue?
Bernard Delpit: It's not materially different from the increase in revenues by the way. It's -- I would say that it's in line. The story is that we are starting to mobilize resources, so we have costs and the IFRS 15 costs translate into revenues. And sometimes we prepare for overhauls, but ahead of the invoicing and ahead of the overhauls really happening. So it's -- I would say it's totally consistent with increase in revenues. It's just a question again of phasing. It could be a bit surprising to have the same kind of contract asset for Services and Signalling. But we have clearly said that this business of Services and Signalling is a business with a positive working cap. So that's why we have contract assets in those two businesses.
Vlad Sergievskii: That's clear. Thank you very much. Can I also follow up on the flattish guidance on the railcar deliveries. So it would mean around 4,400 which is somewhat below what you indicated 12 months ago. I think the indication 12 months ago was close to 5,000 for last year and this year. Could you, sort of, help us understand the reason for this change, particularly given obviously a very long backlog visibility that your business offers?
Henri Poupart-Lafarge: Yes, thank you. There are two points. As I said, the numbers are made of ramp-ups and ramp down, so it's a mixed bag. If you step back and look at the progression, as you are mentioning, it's true, and you have seen that, that the order intake in Rolling Stock has been relatively shy in the last two years, which is primarily our own wishes to be selective on this market, as you know. And we have, indeed, as we said, increased the gross margin on this order by one point every year. Having said that, there have been also some orders which have shifted to the right, and that's why we expect a stronger year in this current fiscal year. And this has led to some delays in some of the production globally. That's why we have decreased our guidance of production for this year. But having said that, we will ramp up again and in midterm, we'll achieve the 4,800 to 5,000, which is where we want to be in terms of industrial capacity.
Vlad Sergievskii: Great. Thank you very much. And my final quick question is on this €100 million of non-operating costs per year, which you guided going forward. To what extent the nature of those costs will be recurring in the coming years and not just one or two years? And if it will be recurring, would you still consider taking them out of your adjusted EBIT definition? Thank you very much.
Bernard Delpit: We clearly said that those non-operational expenses now are only one-offs and that's a majority of restructuring operations. So I can see around €100 million this year, maybe another €100 million and then coming down. No, this is not a recurring €100 million. Recurring expenses are not in non-operating expenses.
Vlad Sergievskii: Thank you very much.
Operator: Thank you. And we will now take our next question from Delphine Brault of ODDO BHF. Please go ahead.
Delphine Brault: Yes, good morning gentlemen. Thanks for taking my questions. First, you mentioned two large Rolling Stock orders shifting to fiscal year '25-'26, in particular, CP contract in Portugal. What was the other one?
Bernard Delpit: We didn't give a specific name on this. But what I said that is that, I think Bulgaria has been now announced. And we have good news coming also from Australia, which is on the back burner and also good news from Americas, but it's too soon -- too early to tell anything on that.
Delphine Brault: Okay. Thank you. When exactly do you expect Amtrak homologation?
Henri Poupart-Lafarge: So, Delphine, thank you. It's being currently discussed with FRA, obviously. I think the latest announcement from Amtrak was about revenue service in spring. So that means that we are now in the final, final mile to get it in the coming weeks, hopefully.
Delphine Brault: Thank you. And finally, what are the main issues, if any, that you are still experiencing on your production, supply chain, hiring people? Or is everything solved now?
Henri Poupart-Lafarge: So we made -- and we discussed that last year. So we had at the beginning of the year, some tension on our supply chain. We made considerable progress there. And we can say that today the number of difficulties, complexities with supply chain -- with the supply chain is back to a normal level, which does not mean that we can rest on our laurels. I mean there are a lot of work to be done, and it's a never-ending matter of attention. I mean we are integrators, so supply chain is a never-ending matter of attention, but we have come back to a more conventional level. Then the other classical challenge is, as I said, associated either to ramp up or ramp down. So when we are ramping up, in particular in Germany, we need to recruit and we need to have the adequate resources and still the same tension on same type of resources like welders and so forth. And when we are ramping down, we need to adapt our industrial platform. So there is no specific points to highlight today. The situation is under control. But with still, I would say, the classical challenges, which will remain to some extent forever, we will always have this kind of supply chain to strengthen more and more. And we'll have always contracts which are ramping up and ramping down. This is the nature of our activities. But there's nothing any more extraordinary in our situation.
Delphine Brault: Thanks a lot. And maybe a very final one, if I may. I know it's very early stage, but what positive impact can have the German infrastructure plan in terms of additional activity for you?
Henri Poupart-Lafarge: So there are two impacts of the German infrastructure plan. There's a direct impact, which is notably on the Signalling, and we have recorded a very large frame contract on Signalling. There are more to come. And in general, the industry, I would say, as a whole has difficulties to answer to the German ambition in terms of development and digitization of the infrastructure. So that's a direct impact, and we are talking several hundreds of million euros of frame contract, which is a huge upside potential for us. Then indirectly, of course, the improvement on the infrastructure in Germany will drive some ridership increase. As you know, ridership has now exceeded pre-COVID level everywhere in Europe and in particular on high-speed, very high speed. And all infrastructure improvements will drive ridership increase and therefore, will drive the need for new Rolling Stock activities, new maintenance activities and so forth. So that will come as an indirect knock-on impact of the infrastructure investment, which again will be more directly on civil work plus digitization and therefore, plus Signalling activities.
Delphine Brault: Thanks.
Operator: Thank you. And we will now take our next question from Arnaud Palliez of CIC Market Solutions. Your line is open. Please go ahead.
Arnaud Palliez: Yes, good morning. Thank you for taking my questions. I have two questions. The first one is regarding restructuring charges. I would like to know if we can have some update about the coming cash outflow that will come from these restructuring charges. And you mentioned the €100 million in Germany. Can we expect also some restructuring charges in other locations? And what is more or less your plan in terms of industrial reorganization in the coming months? That's the first question. And the second one is regarding Chinese competition. Can we have some update? Is it going to be more intense in the coming months, especially with the tariff issue? Can we expect some changes at this level?
Henri Poupart-Lafarge: I would take the second question and let Bernard answer to the first one. On the second question on the Chinese competition, no, there is no impact on the tariff discussions, on the Chinese competition. As being said, we have seen the CRC in a number of geographies. But if anything, the current macroeconomic trends or geopolitical trends, which is, again, to increasingly favor localization put us in a very favorable position. Because, as you know, Alstom is the only multi-local rail manufacturer with industrial setup on all the main markets. Of course, our competitors, and notably CRC, but other competitors as well tend to have only one single base in one country. And therefore, the fact that there is increasing requirement of localization is definitely putting us in a more favorable position.
Bernard Delpit: Okay. On restructuring, so this year, the cash out for restructuring was approximately €70 million. By the way, it was not mainly Germany, but it was across the different geographies where we have implemented our plan to reduce SG&A. For Germany, I think that you can consider roughly €200 million of cash out over the next years. And that's a combination of sites that we could restructure some severances, the end of the plan on SG&A, so that's a combo of many different things. But considering that Germany will represent a large chunk of the north of €200 million of restructuring that I just mentioned before, I mean, €100 million, €100 million and maybe less than €100 million in the last year of our midterm plan is the right way to look at it.
Arnaud Palliez: Okay. Thank you.
Operator: Thank you. We will now move on to our next question from Jonathan Mounsey of BNP Paribas. Your line is open. Please go ahead.
Jonathan Mounsey: Good morning, everyone. Thanks for fitting me in. Maybe -- I guess most of my questions like James have already been asked. Maybe if we look elsewhere in the group, something that's not really talked about today, but used to be a lot in the past, India. I know since Bernard came in, I think you walked away at least from one large contract in the last 18 months or so. If we think back more in the last sort of five years or so, you were winning a lot of contracts. I know you've invested a lot in India. I think there's a slide in the chart showing the two engineering hubs that you have there. I just wonder what's happening now, particularly as to how the strategy is evolving. Does the current local footprint actually suits the way the strategy has now moved? How do you make money there given the pricing environment? Is it a market you can make good returns in? Basically, has your attitude changed to India and as a result, is the footprint the right one?
Henri Poupart-Lafarge: So, thank you. Jon, we are very satisfied today with our Indian footprint. We can say that there are three pillars. We have a long-term locomotive project for a long time now, which is doing extremely well, extremely well. It has been a long journey, but locomotives are now produced right on time, and it's -- the project is really well controlled. That's the first pillar. That's what we call the very large project. And you're right, we have decided not to enter into some of the very large projects. It was more than 18 months ago. It was like two to three years ago, if I recall it correctly. And to be fair, history shows that the competitors which have taken this project, similar projects for regional trains and so forth are today absolutely nowhere. So I think we did really the right move in not taking these projects. But this was the first pillar. The second pillar is components, and we have done considerable progress in components, and we are selling now and we have a lot of traction equipment to Indian Railway, whether for their locomotives or for their Rolling Stock, classical passenger Rolling Stock activities. As you know, they are manufacturing their own Rolling Stock, but they do buy the components. So we have a very strong component franchise there. And the third pillar, I'm talking again of Rolling Stock, we have also a pillar in terms of Signalling. But on Rolling Stock, the urban market, urban and suburban because we have also sold some train to NCRTC, which is an operator operating lines across New Delhi. But on urban, of course, the market has immense potential, probably a little bit slow to take up, but we have done also a considerable progress there, and we are satisfied with our pipeline. We won a few projects recently. So we are in line with our plan. We still intend, even though we have a multi-local approach, as I said, we still intend to use India as a global footprint. So we are using India as an engineering global footprint, and we have more than one-third of our global engineering being done in India. And we are using India as a manufacturing footprint for some components to complement the local production of our trains. So no change. I mean, India is -- and here as well, if I may say, now people -- a lot of industries are moving towards India. So we can only be satisfied of having being ahead of time in this move.
Jonathan Mounsey: Thank you.
Operator: Thank you. We will now take our next question from Martin Wilkie of Citi. Please go ahead.
Martin Wilkie: Yes. Thank you. Good morning. Its Martin from Citi. Thanks for taking my question. Just to come back to gross margins. I know you've talked about it to some degree already, but just to clarify on the gross margin in the backlog. I mean, obviously, you're now back up at the premerger levels and it's up year-on-year, but the gross margin in the backlog is stable relative to six months ago. And it sounds like some of the legacy contracts have dropped out of the mix. So I wonder if you could talk about why the gross margin in the backlog hasn't picked up over the six-month period. Is that just mix between contracts? Or is there something else within that?
Henri Poupart-Lafarge: To be fair, there is nothing very special to explain that. It's a mixed bag of a number of elements. Some of the ForEx has also weighted in the overall mix. Some of the ramp-up of some projects have also been traded there. So yes, it's true on average, we're increasing, as you know, the gross margin year-after-year. If you look at it on a quarterly basis, you can have ups and downs due to mix impacts, but there is no single element to outline there.
Martin Wilkie: Thank you. That's helpful. And if I could have another question on opportunities. There is speculation that the Channel Tunnel will be opened up for more competition. Obviously, Alstom has been a supplier of those trains in the past. Is that something that you have a new product for? Is that something that you think of as a near-term opportunity if more high-speed trains are then used through that tunnel link?
Henri Poupart-Lafarge: So in general, I would say that the regulation and the opening of the various speed market in Europe carries a lot of opportunity for us, because there are a lot of private operators coming. But it's also, in general, increased momentum and the ridership of the very high-speed market in Europe. So even the traditional operators are now interested by acquiring more Rolling Stock to cope with this increasing demand. So all that is going very positively. And this comment include the Eurotunnel across the Paris to London or Belgium, and Brussels to London or Amsterdam to London road, which are of interest for us, including for double-deckers, which can go now in the tunnel, which was not the case in the past. We have done some considerable progress to certify homologates, our trains to go in the tunnel as well. And of course, these double-deckers, as you know, are the only double-deckers available on the market. So they have a clear differentiator, which is the lowest cost per seat available in the market.
Martin Wilkie: Great. Thank you very much.
Operator: Thank you. And we will now move on to our next question from Alexander Virgo of Bank of America. Please go ahead.
Alexander Virgo: Yes. thanks very much. Good morning, gents. Just a quick one to pick up on something. I think you said in your opening remarks about current trading on Services and Systems actually running ahead of what you guided for the full year. I wanted to -- what did you actually mean by that, clarify what you mean by that in the context of the 3% to 5% organic growth guide.
Bernard Delpit: Hi, Alex, it's Bernard, I will take this one. Yes, it's exactly what I mean. I mean we have a guidance for this year of growth, 3% to 5%. So slightly below the 5% CAGR that we continue to see going forward. And the 3% to 5% was mainly driven by some slower growth in Services and in Signalling. And the reason is -- in fact, because in fiscal year '25, we have been much higher than expected, so there is a kind of base impact, which is not favorable to the growth in percentage in fiscal year. But the truth is to say that, in today's current trading, I do not see this slower pace of growth. So I would say that you will not see in Q1, at least from what I see today in the figures, the slower growth that we indicated in the guidance. Maybe it will come later, but in the current trading, nothing to mention here.
Alexander Virgo: That's very helpful. Presumably, that has a benefit to the mix as well on margins?
Bernard Delpit: Probably, a little bit. Probably, a little bit, because -- yes, but nothing really to flag here. But my point is to say, well, the 3% to 5% could be a little bit disappointing. It was a disappointment to me, but I do not see it in the current trading. That's it.
Alexander Virgo: That’s very helpful. Thank you, Bernard.
Bernard Delpit: You’re welcome.
Operator: Thank you. And our next question comes from William Mackie of Kepler Cheuvreux. Your line is open. Please go ahead.
William Mackie: Good morning, everyone. Yes, I will try that again. Its Will from Kepler Cheuvreux. Three questions, I guess, start with Slide 6 on your market outlook two segments. There's some big changes, a 30% reduction in your expectation for the market in Middle East, Africa, Central Asia from €33 billion to €23 billion and a 10% increase in Europe to €112 billion. So could you just talk about why such big movements in a stable industry, which countries or which projects have dropped out or come in within your midterm assumptions? And then specifically, a question around the Rolling Stock pipeline. And then I've got two more I'll follow on with.
Henri Poupart-Lafarge: Well, I would say it's quite classical to see some projects emerging and some other projects being slowing down. I mean, we have a large, large pipeline of projects. And of course, the development of these projects may vary from time to time. If you talk about AMECA, for example, we have the project of NEOM, just to take an example, which was a very large project. And you know that this new city is taking more time and the ambition has been revised downwards. And therefore, the need for trends has been also revised downwards. In Europe, we have seen a number of projects popping up on the back of the increased ridership, the need to further replace a number of Rolling Stocks, also the increase in high speed and very high speed we have seen and you have seen probably a lot of animation on the high-speed market coming from private operators. So this has also pushed upwards the need for Rolling Stock. So it's -- on one hand, it's a very long-term business. On the other hand, on the kind of predevelopment phase. So before the tenders are actually being issued and before we actually start the project execution, the development of this project can vary a lot depending on a number of factors. So it's not abnormal to see pluses and minuses depending on either commercial aspects or political aspects.
William Mackie: The second question is on your backlog slide. I think it's 29. I mean when we look at the composition of the backlog related to projects with gross margins between 0% and 10%, that really hasn't changed over the last three or four years in scale. Could you talk a little bit about what that backlog comprises of? Is it mostly Rolling Stock or all Rolling Stock? And why are you not able to drive the proportion of those projects lower margin down further over time?
Henri Poupart-Lafarge: So two answers. First, it has globally decreased. So if you look at the scale, but if you look at the numbers, it has decreased over time from 23% to 15%. So it has decreased, notably the one below 0, but the overall number. And to your question, yes, it's mostly Rolling Stock projects. There are some exceptions to that. But the large, large majority of these difficult projects are Rolling Stock projects. So we want to continue to trend them down. As I said, the order gross margin on order intake even in Rolling Stock has increased quite significantly. So we are starting from a higher base. And then, of course, we want to improve the execution, so to lower down the deterioration of the projects on a net basis, so there are pluses and minuses on a net basis. But also, I would say, on the growth basis that we really want to avoid to have contracts going downward, which -- each year, we are making progress. So this year, we have made progress as compared to last year in terms of margin evolution within Rolling Stock. But still, it's a combination of pluses and minuses.
William Mackie: My final question relates to financing and capital structure on Slide 26. I mean you're rolling off or refinancing bonds with very low rates. Could you at least give at the current market rates, what the sort of incremental expected cost will be on refinancing the '26 or '27 debt or at least a guide for where you see that the financial costs for the year related to those? And then more generally, the cash -- gross cash balances are good today. But when we think about the outflows linked to working capital and the bond repayments, obviously, that may come down. So what do you see as a longer-term optimal level of cash balances through the year or through the cycle as you want to describe it?
Bernard Delpit: Yes. Will, it's Bernard speaking. I will take this one. On debt, for sure, the rate that was locked in our debts is very low. I think we clearly put it in the slide saying it's 22 bps. So if we had to refinance it, to roll it over, today, we would not have the same rate. That's for sure. So I will not answer directly to this question. But saying that going forward, I see the financial expense to stabilize around €150 million, taking into consideration this pressure to higher interest rates for bonds, but lower expenses on the other items on the financial income. Now talking cash, I continue to be a strong believer in the fact that this business should be cash positive. So definitely, we need to have a negative debt or a positive cash for this kind of business because we have always seasonality. This seasonality is embedded in the business model. So it should be also embedded in our financial structure.
William Mackie: Thank you very much.
Operator: Thank you. That's all the time we had for Q&A. I'll now hand it back to Henri for closing remarks.
Henri Poupart-Lafarge: Thank you, everybody, for your attendance, for your attention. Clearly, as a conclusion, I would say this year has been a very strong year to be fair. We had a very nice ramp-up of our activities. The beginning of the year was more complex, but as the year was going, we improved our operational metrics further. And more and more, we solved both our supply chain issues and some of our technical issues. So we have finished the year very strongly, and that's why we have managed to be on the high-end range of the cash flow generation this year. We are starting the new year on a very strong base. We are, as being said, more optimistic today on order intake for the year as we intend to have a book-to-bill above one globally, but also for Rolling Stock, and we have a number of opportunities which will come across the year. So it's a good prospect for this year. For the midterm, we are confirming all our guidance, including which for me was one of the most important one, the €1.5 billion of cash flow generation over the three years. So that's one of the very important one, both from operational matter, but also to sustain the credibility and the strength of our balance sheet. We have explained and Bernard explained to you the reasons behind the seasonality that does not hamper at all our confidence on achieving the full year guidance and the three year guidance. So I think we have a strong base. And it happens that what's happening on the market today, the macroeconomic trends and the geopolitical trend is confirming, justifying our strategy, which we have pursued for a number of years of being multi-local, which even though nobody can say that they would be immune from any macroeconomic crisis. We are by far extremely well protected and very resilient to this kind of evolution. So I think we are definitively on a very, very strong base for the coming years. And now that we have completed the Bombardier acquisition, we can really dedicate all our forces to improve project execution and to grow both our Signalling and Service businesses. So I would say the times ahead are extremely positive. So thank you. Thank you very much for your time. I'm happy to talk to you directly in the coming days.
Operator: Thank you. This concludes today's call. Thank you for your participation. You may now disconnect.